Operator: Good morning and welcome to the Dawson Geophysical fiscal year-end and fourth quarter 2012 conference Call. All participants will be in a listen-only mode. (Operator Instructions). After today’s presentation, there will be an opportunity to ask questions. (Operator Instructions) Please also note that today’s event is being recorded. I would now like to turn the conference call over to Steve Jumper, President and CEO. Sir you may begin.
Steve Jumper: Thank you, Jamie. Well good morning and welcome to Dawson Geophysical Company’s fiscal fourth quarter and year end 2012 earnings and operations conference call. As Jamie said, my name is Steve Jumper, President and CEO of the company. Joining me on the call is Christina Hagan, Executive Vice President and Chief Financial Officer. Today’s call will be presented in three segments. Following these brief remarks, Chris will discuss our financial results. I will then return for an operations update and then open the call for questions. The call is scheduled for 30 minutes, and as in the past, we will not provide any guidance. At this point, I will turn control of the call over to Chris Hagan, our CFO to discuss our financial results.
Christina Hagan: Thank you, Steve. First, I'll read our Safe Harbor provisions. In accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, Dawson Geophysical Company cautions that statements made today in this conference call, which are forward-looking and which provide other than historical information involve risks and uncertainties that may materially affect the company’s actual results of operations. These risks include, but are not limited to the volatility of oil and natural gas prices, dependence upon energy industry spending, disruptions in the global economy, industry competition, delays, reductions or cancellations of service contracts, high fixed cost of operations, external factors affecting our crews such as weather interruptions and inability to obtain land access rights of way, whether we enter into turnkey or term contracts, crew productivity, limited number of customers, credit risk related to our customers, the availability of capital resources, and operational disruptions. A discussion of these and other factors, including risks and uncertainties is set forth in the company’s Form 10-K for the fiscal year ended September 30, 2011. Dawson Geophysical Company disclaims any intention or obligation to revise any forward-looking statements whether as a result of new information, future events or otherwise. During this conference call, we will make references to EBITDA, which is a non-GAAP financial measure. A reconciliation of the non-GAAP measure to the applicable GAAP measure can be found in our current earnings release, a copy of which is located on our website at www.dawson3d.com. And turning to our financial results, for the fourth quarter of fiscal 2012 ended September 2012, revenues were $72,998,000 compared to $84,256,000 for the same quarter in fiscal 2011. The company reported net income for the fourth quarter of fiscal 2012 of $1,152,000 compared to $2,944,000 in the same quarter of fiscal 2011. Basic earnings per share for the fourth quarter of fiscal 2012 were $0.15 compared to $0.38 per share in the same quarter of fiscal 2011. EBITDA for the fourth quarter of fiscal 2012 was $10,630,000 compared to $12,955,000 in the same quarter fiscal 2011. For the fiscal year end September 30th 2012, the company reported revenues of $319,234,000 compared to $333,279,000 for the year end fiscal 2011. Net income for fiscal 2012 increased to $11,113,000 from a net loss of $3,246,000 in fiscal 2011. Earnings per share for fiscal 2012 were $1.42 compared to a loss per share of $0.42 for fiscal 2011. EBITDA for fiscal 2012 increased to $49,615,000 compared to $27,861,000 in the same period of fiscal 2011, an increase of 78%. Capital expenditures for fiscal 2012 total $47,664,000 as compared to $59,380,000 in fiscal 2011 and $19,962,000 in fiscal 2010. The expenditures in fiscal 2012 included 10,500 GSR single-channel units, 3,000 GSR three-channel units, 19 INOVA vibrator energy source units, additional geophones, cables, and vehicles along with maintenance capital requirement. The company anticipates the capital budget in fiscal 2013 of approximately $40 million to include additional cable-less recording equipment, additional energy source unit, Canada operation capital requirement and maintenance capital requirement. Included in the fourth quarter in full year fiscal 2011 results, the transaction cost of $1,444,000 and $3,866,000 respectively related to a terminated merger agreement. Included in the company’s year-end fiscal 2012 results is an $0.18 per share of onetime tax benefit taken in the first fiscal quarter of 2012 related to the above mentioned terminated merger agreement. Reflected in the fourth quarter and year end fiscal 2012 results were increases in depreciation expense of $637,000 and $1,962,000 respectively from the prior period. The increase in depreciation expenses related to the company's investment, in addition recording equipment and energy sourcing over the past 24 months. Steve.
Steve Jumper: Well thank you Chris, let me start by recapping our fiscal fourth quarter and year end highlights. As Chris mentioned, the fourth quarter and year end 2012, demand for seismic services in lower 48 approached multiyear high. Order book levels are multiyear highs and capable of sustaining 14 data acquisition accrued as well in the calendar ‘13. EBIDTA for the year ended September 30, 2012, increased to $49,615,000 compared to $27,861,000 for the same period of fiscal 2011 and increase to 78%. Net income for the year ended September 30, 2012, increased to $11,113,000 or $1.42 per share compared to a net loss of $3.246 million or $0.42 loss per share of fiscal 2011. We purchased 10,500 single channel GSR units, 3,000 GSR, three channel units with three component GSR and 19 INOVA vibrator energy source units to better serve our client's needs and increased recording capacity. Project efficiencies are enabling us to finish projects faster and at times ahead of schedule which is helping to create additional capacity for our order book. With a balanced portfolio of project in the Eagle Ford, Niobrara, Bakken, Marcellus, Permian Basin in Mississippi line. We have approximately $7 to $8 million of working capital at September 30, 2012. Our fiscal 2012 capital expenditures totaled approximately 47.6 million and anticipated to be 40 million in 2013. Proud to say that we've executed our first contract in Canada with plans to deploy our first crew in early in 2013. In short, demand for services in the lower 48, reached multi year highs in fiscal 2012, to field our first profitable year since fiscal 2009. EBITDA for fiscal 2012 serviced to $49 million an increase of 78% while net income grew to $11 million from a corresponding year ago period loss of 3.2. Revenues for year-end were 319 million compared to 333 million for the year-end September 30, 2011. Revenues net of reimbursable charges I would note increase 13% in fiscal 2012 over 2011 while third party charges reduced 29% in fiscal 2012 from 2011. The decrease in revenue is not a reflection of decreasing geophysical demand, but rather is partially attributed to lower utilization rates in the second half of the year and lower third-party charges stemming from the use of helicopter support service, specialized survey technologies, and dynamite energy sources in areas of limited access. As an increasing amount of size and (inaudible) focus towards the more open terrain of the west United States such as the oil and liquid-rich basins in the Eagle Ford, Bakken, Niobrara, Permian, and Mississippi Lime. We would anticipate third party charges to remain in the historical range of 25% to 35% as a percentage of overall revenue for the foreseeable future. All third party charges are reimbursed by our clients. Capital investments totaling approximately 126 million since fiscal 2010 began to pay strong dividends as project efficiencies translated in to increased capacity for work in a growing project order book that is as that acquisition crews completed project faster and operate more efficiently, the ability to add capacity and convert projects into revenues could improve. Today all 14 crews are fully deployed and our order book is capable of sustaining all 14 crews well in to calendar year 2013. As mentioned in our Q4 earnings press release, we recently executed our first contract in Canada, a multi-component project. The same time demand remains robust in lower 48. We believe we will be awarded large multi-crew project anticipated to commence in the second calendar quarter of ‘13. We’ve entered into two term agreements one of which is for multiple crews in various basins through mid-calendar ‘14 and currently negotiating potential term contracts at large independent and a major E&P company. As we close fiscal 2012, there is speculation about a potential decrease in horizontal rig count and whether that decrease will negatively affect our activity. In line of this discussion, we noted an interesting fact, today there are approximately 1,100 horizontal rigs operating in lower 48. At the peak of 2008, our most successful year there were only 600 horizontal rigs operating in lower 48. As the numbers dictate, or indicate, the number of horizontal rigs is not always directly tied to our success. As drilling decisions become more critically defined, we believe the need for high resolution subsurface images will continue to fuel demand for our services in the foreseeable future, even if we continue to see a moderate swing in the horizontal rig count. In closing, improved efficiencies in gains and productivity combined with stronger contract terms is driving higher returns. I am confident that our commitment to our employees, our clients, and shareholders will bring new opportunities for expansion in growth here at Dawson. And with that Jaime, we are ready to open the call up for questions.
Operator: (Operator Instructions). And our first question comes from Collin Gerry from Raymond James. Please go ahead with your question.
Collin Gerry - Raymond James: Well, I got to tell you, this has been a quarter for most of the all service space where they are looking at significantly reduced outlooks, your outlook looks pretty bullish, I wanted to kind of dig in on that. I mean, the multi-crew projects and some of the other term agreements that you mentioned in the press release and in your commentary, how does that compare to previous cycles and may be what the bidding activity environment has looked like for the past 12 months? Is this a new phenomenon?
Steve Jumper: You know, if we went back to 2007 and 2008, we were operating about at a 50-50 split between turnkey and term type agreements, and that has shifted to about a 75-25 at times, it’s been a little bit higher than that, balanced toward a more turnkey agreements which have not been a problem for us. As we have said in the past, turnkey agreements take on a little bit more risk, but they take on a little bit more upside as well. Our term agreement is little bit of a shift of risk more on to the client, but more benefit on the upside to their favor and so there is always a desire to have a nice balance there. You know, bidding activity in our opinion in 2012 was quite robust and we've continued to see some of that activity continue into what would be our forward fiscal quarter or calendar Q3, in going into our Q1, calendar Q4, we continue to see high levels of bid activity, which I think others in our peer group have mentioned at times. We are starting this; we have seen a couple of contracts here come to completion and finalization, which is a nice thing to see. We continue to see and have conversations about activities going forward; it is a relatively recent shift in our opinion to have more of our clients talk about more term type agreements giving some crew availability in 2013. And so, we see that as a positive shift, just like we began to see sometime in the 2004, 2005 time frame when the focus of the time was on natural gas shell place. The industry has drilled a lot of wells and there has certainly been a very high level of activity in oil and liquids as we've had this shift in ‘09 into this land rush into the western US, some of these we've talked about. We've had an increase in drilling activity in those area, you certainly see it right here in the Permian basin in Midland, very high levels of activity. But in our opinion we have seen the capacity growth on the seismic side that you've seen in other sectors. We've not seen as high of activity levels, we tend to be a little bit later cycle, this is something we're seeing before, works time to take a good hard look, drilling decisions become a little more critical as there is little bit more stress on decisions to be made and so we think though are some of the things that are leading to what we see as at least a stay level of demand going into at 2013.
Collin Gerry - Raymond James: Are the duration, I am looking at the press release and some of them say, through 2014 and pretty long term agreements, is that abnormal? It just seems like those are some pretty long duration agreements?
Steve Jumper:  Well, we have had those agreements in the past where they have been one year type renewables, I do want to stress something here, our term type agreement and our industry is a little bit different from some of the other term agreements. There are still, you know, cancellable. There are still projects can still be delayed. There is not anything like a take or pay option in these term agreements, but what we’re seeing is the need for several of our clients will have projects scattered over four, five different basins whether it’s the Miss Lime, Permian, Niobrara, Bakken, whatever the case maybe and they have a series of projects that there will continue to be a little of timing issue related to some of the contracts may require one crew, some may require two or three crews at a given time and what the position that puts us in is to be able to have a little more conversation about scheduling and our availability versus our clients timing as opposed to things just coming up on a very short notice, and so I would say that the duration of some of them will be or one in particular is through mid-calendar ‘14. I don’t know the number of projects and the size of those projects at this point that I would disclose if I had that information, Others there are some of them that last through the middle ’13 and there is one that we’re negotiating that we’ll see where it lands, but it’s talking about a three-year type agreement encompassing wide ranges and so it just make us feel like that there are pretty solid opportunities going forward. There is a little bit more talk about using some multi-component equipment and getting some different images and better resolution on some of the reservoir type in particularly some of the rock type in some of these shell plates. So we’re pretty optimistic. We’ve had great start to ‘13, our fiscal year begin October 1, had a very solid start up, one that we haven’t had in many, many years, we are in our toughest quarter, we’ve talked about that before. This is the time of the year where we’ve got, four or five holiday days in there, we’ve got shorter days and less daylight and we’ve gotten a little more weather exposure and some of hunting activities in various parts of the country that can move things around. We think, the early part of ‘13 looks pretty solid as always, our contracts can be modified, delayed, cancelled on very short notice but we’re not getting any indications anywhere of anything that we have currently on the order book or this being discussed with some of our clients that we believe at this point in those projects are anyway shape are performing jeopardy?
Collin Gerry - Raymond James: Alright. Just last one for me, you mentioned the seasonality when you go into this winter quarter, curious if Canada, am I to understand right that the contract you just (inaudible) for Canada is for near term work so it would be in the December quarter and how does that affect maybe what we've historically seen as seasonality?
Steve Jumper: I believe the contract that we have in place is actually a Q1 calendar Q2 fiscal project for us. We still think we can get one crew operating in Canada. The Canadian market probably at this point even though I have no experience in the Canadian market, I am just relaying what to my understanding is as I am being told may not at this point feel as strong as it did earlier in the year. Maybe a little bit later getting some things signed, I think we feel pretty confident that we’ll get that one crew booked up for most of the 90 to 100 day window that we’ll have up there. Don’t see us affected crew, we knew, when we went up there that demand was at the time was pretty good, I still think it’s reasonable, maybe not at the level that it has been in the past. We knew it was a tough entry for us and it’s a market that we entered to be in for the long haul and one of the advantages I believe we have up there certainly our management team, certainly our brand name, but more importantly I think we've got a nice fleet (ph) to be a multi-component equipment that will go up there and we think there will be a quite a bit multi-component work in Canada and so. We are just working through that process day by day Collin.
Operator: Our next question comes from Jason Wangler from Wunderlich Securities. Please go ahead with your question.
Unidentified Analyst: Actually this is (inaudible) dialing for Jason, I have two questions, one is the 40 million CapEx for next year, do you have a breakdown of how much of it is maintenance versus expansion CapEx and can it be up or down as market warrants?
Steve Jumper: The maintenance cap I guess in the strictest form probably is 10, 15% of that number. I tend to view that a little bit differently when you consider some of the things that we have to purchase that I will consider more just a routine ongoing. So, I guess in the strictest sense it’d be 5 to 10 million range, somewhere near for maintenance, we will buy some cableless equipment, we will purchase more energy source units, we have some energy source units that we’re taking out of service, so I don’t think those will be necessarily addition as much as replacement. And the same would go for some of the cableless equipment; we still have some recording systems that were in the process of retiring overtime. As always, that CapEx number can go up or down and certainly as market dictates, as conditions change, we've authorized 20 to start the year and spent 57; we've authorized 20 and spent four. We feel like 40 is a pretty reasonable number coming out based on our needs looking into ‘13 at this point.
Jason Wangler - Wunderlich Securities: Okay thanks and in the context of your seismic shoots in demand, how much is target horizontals plays versus vertical?
Steve Jumper: I think there is a large percentage of what we do that is horizontal, certainly most natural gas stuff was all horizontal. But I think the horizontal work for the most part is what drives our current demand.
Operator: Our next question comes from Rudy Hokanson from Barrington Research. (Inaudible) please go ahead with your question.
Rudy Hokanson - Barrington Research: Thank you, Steve could you talk a little bit about the, it sounded like when you are discussing contracts with customers that they're looking much more at the total life of the reservoir and how they can utilize you. And I know that you've emphasized that before and that you don’t necessarily break it down in terms of actual numbers, but could you maybe discuss about what that means in the plays right now, as they look at both exploration, the evaluation and exploitation right now and how that might be driving what you're seeing?
Steve Jumper: Well I think we have said for quite some time Rudy that early in my career the seismic methodology was an early indicator of activity, it was a leading indicator, and it was predominantly an exploration tool. People would go in and primarily shoot 2D grids or small 3Ds, make a map, take a lease and drill it. And I think over time as we particularly went into the shell plays, the natural gas shell plays, what we saw was there is a good understanding that there is productive raw in the shell plays if you can drill it and complete it properly and we really went into more of what I would call an evaluation type where, there was more land work done upfront, people were holding their leases, and there were some drilling that kind of start proving things out and at the time it was getting some natural gas online now, it’s getting oil online, so you’ve had this land, you’ve had this drilling execution and now we’re into the phase that where I think personally we went through a natural gas where we need to really make sure that we understand as an industry what the geo-hazard structure looks like, where we have some issues, where we have some problems. But I think our industry has to move one step further into what I call and the terminology may not be the best terminology in the world that’s more into exploitation where we’re not so much looking just for faults in geo-hazards but we’re having to understand a little bit more about the rock that’s higher resolution images, that those are surveys that are more rich in survey attributes that lead to higher level analytical stuff on behalf of E&P companies, maybe they can tell this shale is more accepting to hydraulic fracturing and another one might be and I think as we continue to evolve in some of these plays and I think we’re certainly seeing it in West Texas and we’re shooting surveys not just us but our industry are shooting surveys in West Texas and in South Texas and in parts of Oklahoma where we’ve been before, but the survey design, the richness of what we’re trying to do is allowing them to take one step further to really understand a little bit more and maybe play some of these wells, these horizontals and may be to lead them a little bit more in the direction they are going in term of their completion process. So, I think, not only are we more of a late cycle service which is different from where we were 15 to 20 years ago, but I think we are becoming and will become more vital as our information integrates more into engineering and petrophysical type work, and so I think this is just a natural progression of our science and our industry that we have talked about for many years.
Rudy Hokanson - Barrington Research: Thank you and then on a financial numbers issue, is G&A expected to stay at about the current levels with Canada up and running or was the quarter, did it have some extra things in there because of the startup in Canada?
Christina Hagan: It has had some startup of Canada is carried in the G&A we expect that type of operations commence in Canada.
Operator: Our next question comes from (inaudible) Partners please go ahead with your question.
Unidentified Analyst: Thank you. My first question, you talked in the press release about improved efficiency and this is great and yes, it hurts you in Q4, but looking forward, I just want to make sure what are you doing to take this into account, are you scheduling jobs all sorts together, so that we don’t have the utilization issue because we are getting more efficient, what’s your plan going forward?
Steve Jumper: Well, first and foremost you have to paddle a little faster to get things ready. I think, you have to put a little more emphasis I would think into both our side and our client side that getting these projects ready up and running, we are going to have to find a way to shorten that window as opposed to taking six months to get something ready, you are going to have to find a way to get it ready in five and I think we have the people on staff and the processes in place that we can do that. I think we are getting a nice mix of project sciences. I think we continue to work hard and not just focusing on large projects which we've never really focused on in the past, but we like to have nice mix of projects of various sizes that can get, put in place when you might have holes in the schedule. And I think some of those projects are starting to come to light. And then I think, we have to watch our crew count very closely, I think there may be something a lot like, we've done in the third and fourth quarter where, you may be able to do a little bit more, a little bit less and that's not forecasting anything at all on crew count but you kind of have to continue to balance resources in personnel in such a way that you got the right equipment on the right jobs, I think we've got a nice light equipment base that puts us in position to do a whole lot of things. But that’s something Vinni, that we’re always going to have to deal with in our industry, we're always going to have the possibility of weather in delays and cancellations, I think the Q3, Q4 issue that we dealt with was something that was a little bit unique. It was a little deeper, little more severe than anything, we’ve experienced in the last five or ten years. We've had those issues before, we've also had drop in demand, where you can forecast what to do without increasing demand, we can forecast what to do, it was very unique for us to put in that Q3, Q4 situation. I am not saying that that won’t happen again because obviously it can, because it did, but I certainly don’t see that on the horizon like we did starting in Q2. But go back to answer your original question, I just think we've got to continue to find ways to improve the processes in front of the actual proof data acquisition process and I think some of these term agreements and some of these other agreements that we’re looking at are going to hopefully facilitate some of that force. The fundamentals of our quarter to quarter issues as much as we’d like to say otherwise, the fundamentals of quarter to quarter issues going forward haven't changed. Like I said, I don't think there will be a severe but we're still going to be looking at overtime while we're improving form the prior year and the time when I think is going to historically has been greater than 90 days for our industry.
Unidentified Analyst : And last year, once you move forward, so this efficiency say that really helps so it should be positive going forward. And then my second question is total channel count, how many channels do you have right now and how many channels are you going to (inaudible)?
Steve Jumper:  I think we've got still about a 167,000,165,000 channels company wide. Probably anticipating, moving 8,000 of the multichannel, 7,000 to 8,000, of the multichannel boxes which will, for a short period of time, put anywhere from 21,000 to 24,000 channels up there.
Operator: (Operator Instructions) And our next question comes from George Venturatos from Johnson Rice; please go ahead with your question.
George Venturatos - Johnson Rice: Good, think I thought I hit the number but I guess not. My questions was, as we kind of tick through a few of these, on the utilization issues that have impacted last couple of quarters, project preparation, weather, permitting client delays; where do you see, what was most detrimental to you, and if it was maybe on the project prep side, you know should we feel better about that obviously with some more term contracts, in the mix now.
Steve Jumper: Well, I don’t think there was any one particular issue that really affected Q3-Q4 problems. I think we had some projects that were delayed, that have now come back. We’re on in a couple of them now, one of them in particularly has grown in size and I think that was more related to on the EMP side getting some things put together that really didn’t affect us. I think that has happened. I think some of those projects that we rolled into term agreements where there is a little more understanding of where we are going. I think certainly in parts of the country the permit process is improving, I would say a little bit particular in some of the West Texas work they were doing. I think that process is getting better and honestly I think, no there were some things that we finished up ahead of schedule quite honestly that we weren’t anticipating and I think that maybe change the way we approach some things going forward. So, I really don’t think there was any one issue there that was and I think that’s what made it a little more of an anomaly for me anyway was it wasn’t just one thing, it was a Murphy’s law, is it possible that surfaces begin, sure? Is it likely to surface the way it did at this point? I don’t see it. I think, I feel better by going forward because we have some of the term agreements that we think will help us. We have nice project sizes, a nice project size mix I should say and so I certainly feel better about it. But as we’ve talked about, the origin and unfortunately there is a lot of times there are situations beyond our control in this business but I think we are doing all the appropriate necessary things to mitigate as many of those risks as we possibly can.
George Venturatos - Johnson Rice: Okay. I appreciate it. Then on Canada, I was just curious, the length of that initial project and you know how many, you probably anticipate doing for that 90 to 100 day period?
Steve Jumper:  Well, I am not an expert in that area by any stretch of the imagination but I would anticipate two, three, well I can’t visualize any more than two or three projects for one crew, may be four projects in the time window that we have. But I think we’ve got one project in place which is a real positive for us and credit to our group-up in Canada. We’ve got a great management team put together and we’ve got what we think would be a good operation. But, I think as we’ve said all along, we weren't anticipating a whole lot out of Canada, we were hoping for two. We've always said it could be one or two but that’s a market that we intend to be in for quite some time. And so, if it’s a little bit bumpier the first year than we originally anticipate, we’ll have to wait and see but that’s not going to change our desire to continue to operate and grow in that market.
George Venturatos - Johnson Rice: Okay then I'd assume, I know it’s early, but on the ‘13 budget, embedded within that is likely some further multi-component channels for you, something Canada maybe add another crew next year, is that…
Steve Jumper:  We don't have additional multi-component equipment built into that budget. At this point I think there are some conversations about more multi-component work in the lower 48 as well as the potential long term of having more multiple component work in Canada and so I think that's something we're going to continue to look at to have the right equipment base to provide the services that our clients need but at this point, I would say we do not have any multi-component equipment built in to the ’13 budget.
Operator: And at this time I'm showing no additional questions, I'd like to turn the conference call back over for any closing remarks.
Steve Jumper: Thank you, Jamie. I would like to thank all of you for participating in our call, I would like to thank our clients, employees and shareholders for continued support and trust. Proud of the year we had, our employees worked hard and provided outstanding services to our clients and for them we're certainly thankful. We will be presenting at the Capital One South Coast Conference in the New Orleans on December 6. We certainly wish all of you a happy holiday season and a prosperous 2013, and look forward to taking to you again in February. Thank you.
Operator: Ladies and gentlemen that concludes today's conference call, we do thank you for attending. You may now disconnect your telephone lines.